Operator: Thank you for standing by. This is the conference operator, and welcome to the RumbleOn Second Quarter 2022 Earnings Conference Call. I'd like now to turn the conference over to Will Newell, Investor Relations Officer. Please go ahead.
Will Newell : Thank you, operator. Good morning, ladies and gentlemen, and thank you for joining us on this conference call to discuss RumbleOn's Second Quarter 2022 Financial Results. Joining me on the call today are Marshall Chesrown, RumbleOn's Chairman and Chief Executive Officer; and Narinder Sahai, RumbleOn's Chief Financial Officer. Our Q2 results are detailed in the press release we issued this morning and supplemental information will be available in our second quarter Form 10-Q that will be filed later today. Before we start, I'd like to Remind you that the following discussion contains forward-looking statements, including, but not limited to, RumbleOn's market opportunities and future financial results that involve risks and uncertainties that may cause actual results to differ materially from those discussed here. Additional information that could cause actual results to differ from forward-looking statements can be found in RumbleOn's periodic and other SEC filings. The forward-looking statements and risks in this conference call, including responses to your questions, are based on current expectations as of today, and RumbleOn assumes no obligation to update or revise them, whether as a result of new developments or otherwise, except as required by law. Also, the following discussion contains non-GAAP financial measures. For a reconciliation of non-GAAP financial measures, please see our earnings release issued earlier this morning. Now I will turn the call over to Marshall. Marshall?
Marshall Chesrown : Thank you Will. Good morning everyone, and thank you for joining us today. We saw strong demand for our offering in the second quarter and delivered another quarter of profitable growth while driving gross margin expansion and robust cash generation. We are building the future of powersports by delivering an unparalleled customer experience through our unique onmnichannel offering, and we continue to capture market share. It’s a pleasure to be reporting another quarter of record results. During today’s call, I’m going to focus on three main themes: First, we are executing on our financial and operational goals, as we continue to take share in the powersports industry led primarily by our high quality used inventory offering, which uniquely positions us to continue building market share against the backdrop of a challenging macroeconomic environment. Second, we are investing prudently in core areas of the business that will provide us a sustainable long-term competitive advantage and scale. And finally, we remain true to our North Star, providing customers an unparalleled choice of products and services as well as an unmatched buying, selling and servicing experience, both online and in our retail locations. We delivered over a half a billion in quarterly revenue for the first time in RumbleOn’s history, expanded gross profit margin to over 25%, and we increased net income 54% and adjusted EBITDA 41% quarter over quarter and we are reiterating our full year financial outlook of $1.9 -$2.0 billion in revenue and at least $145 million in adjusted EBITDA. We sold over 20,700 powersport units, led by over 41% growth in used retail units quarter-over-quarter, delivered more than $414 million in powersports revenue and grew powersports gross profit to $130 million. In a quarter marked by macroeconomic uncertainty, we are executing; and we are capturing market share. Our strategic competitive advantage -- our highly differentiated used powersport retail and online inventory acquisition strategy -- drives our outperformance. Our used acquisition strategy driven by unmatched technology is driving incredible results. Used inventory is not subject to supply chain constraints and will continue to be an important organic growth driver for RumbleOn. Looking at the second quarter, as compared to Q4 2021, which was our first quarter as a combined company we grew used retail powersports sales 86% from $66 million in Q4 to over $122 million by Q2. This is due to continuous improvements in our processes and by leveraging the use of our unparallelled data, we nearly doubled the total sales with just a 10% increase in used inventory. And, days supply went down from 123 days to just 77 days in Q2, which is an improvement of 45 days. Further in that regard, we also improved the Vehicle GPU from $1,920 in Q4 to over $2,600 in Q2. We achieved an increase in GPU from the increased used vehicle flow in parts and service as well as F&I, and Merchandise. The affordability factor of used inventory is giving consumers options for ownership that didn't exist in the past, even more so in times of uncertainty in the economic backdrop. Our offering has been well received, as evidenced by our continued growth in our used business amid tightening household budgets, higher interest rates and discretionary spending pressures. While we are monitoring these macro headwinds closely, our consumer has proven resilient. We are not immune, but we are insulated. Our business model affords us flexibility to move rapidly in reaction to market changes. We are uniquely positioned to provide high quality affordable fun with our depth and breadth of used inventory sourced directly from the consumer and our captive financing options. Additionally, thanks to the real time versatility of our Cash Offer Tool we are nimble in our ability to control inventory levels and days supply. We are presently the largest retailer of new and used powersports in the country. Our next objective is to launch a fully online, paperless and friction free experience to transact powersports. RumbleOn’s omnichannel experience will bring together the largest inventory in a no hassle format, without boundaries for the consumer, and will be the next leg up of organic growth for the company. We are building RumbleOn for the future and continue to invest in our mission to deliver unparalleled value to our customers. At the beginning of the year, we laid out our strategic priorities for 2022 to invest prudently in technology, facilities, people, and processes. We continue to make measurable progress in these areas. On Facilities, we are building our fulfillment center network for efficient inventory acquisition, distribution and fulfillment for new, used, parts and merchandise. We opened a fulfillment operation in Concord, North Carolina in Q2, and just opened our second location in Orlando, Florida last week. We believe a streamlined fulfillment network will be a significant advantage, and plan to expand into more strategic locations as we continue to scale. Further, the majority of our stores are located in the sunbelt region, which provides minimal seasonality in the winter months, however we do see some seasonal softness in the hottest summer months. Q2 is typically the seasonally strongest quarter of the year, whereas Q3 is the weakest, attributable to the temperatures across our markets in July and August. As we continue to strengthen our national presence, we will continue to evaluate opportunities outside of the sunbelt. We are making big strides designing our first ever customer experience center in the Dallas, Fort Worth market. We are creating a destination for Powersports enthusiasts to interact and engage with not only the products they desire, but also the broader Powersports community -- and with our brand. We are in the design phase now and look forward to moving into the execution phase in the coming months. We expect to add this location to our fulfillment network by the end of the year and look forward to the grand opening of our largest powersports center in 2023. We believe this will be a game changer for RumbleOn - and powersports enthusiasts around the country. On Technology, we are testing new ways to leverage both our technology and data advantage. We continue to march toward full digital inventory integration of our retail locations via new innovative websites, integrated CRMs and centralized inventory, which is all on track for later this year. Our Cash Offer tool, a key differentiator for us, has been rolled out in all 55 RumbleOn locations and continues to increase our capture rates. We’re also building a system for improved lead management and customer assistance strategies, which will support our vision in creating a paperless, friction-free experience for customers regardless of their location or the location of what unit they might be interested in. On People and processes, we’ve already reaped extraordinary benefits and efficiencies from the regional management structure that we implemented in Q1, enshrining our unique culture and ensuring stable footing for our continued growth. And in Q2, we expanded deeper into the organization adding resources across critical SG&A functions. By broadening and deepening our in-house processes and core competencies we are building a solid foundation for the future organic and acquisition growth of RumbleOn. At RumbleOn, we are never satisfied with the status quo, and we will never stand still in the pursuit of our North Star. We have worked hard to create a culture based on innovation and the constant desire to excel. And we’ve been heads down testing and learning countless ways we can improve the customer experience. From pricing strategies, hours of operations and customer service techniques to online engagement and lead management. Through all of this we are remaining focused on our commitment: providing customers an unparalleled choice of products and services, and an unmatched buying, selling, and servicing experience both in our retail locations and online. With that, I will now pass the call over to Narinder and then I’ll rejoin you for some closing comments.
Narinder Sahai : Thank you, Marshall, and good morning, everyone. We entered the second quarter with strong momentum. While the macro environment has changed meaningfully since we last reported earnings in May, we have established ourselves as a market leader in new and used powersports, and we continue to see resilient consumer demand. We are focused on driving profitable growth, and our exceptional second quarter results demonstrate the progress we have made, all while investing in our business. Please refer to our earnings press release and 10-Q to be filed later today for full details of the quarter. Unless otherwise specified, all of the second quarter growth figures cited in my remarks today are quarter-over-quarter or sequential comparisons. Moving on to some key highlights. In the second quarter, we sold 23,330 total units, up 20.4% sequentially and grew total powersports unit sales 23.6%. Powersports unit sales were driven by a 41.3% increase in used retail units, offset by a decline in wholesale units as we continue to channel more used units through our retail locations. New units were up approximately 17.5% sequentially. The contribution from the Freedom Powersports acquisition, which closed on February 18, 2022, was a tailwind to unit growth. Our used vehicle acquisition model enables us to have significant control over our inventory, enabling us to react quickly to changing demand environments. We delivered record revenue of $546.1 million in the seasonally strong second quarter. Revenue from finance and insurance, net grew 34.1% and parts, service and accessories grew 19.3% from the first quarter. These revenue increases are highly correlated with retail unit sales. Total gross profit for the second quarter was approximately $138.0 million, up 31.1% from the first quarter. Total gross profit margin was 25.3%, up 239 bps from 22.9% in the first quarter. Total SG&A expenses were approximately $100 million or 18.3% of revenue compared to over $78 million or 17.0% of revenue in the first quarter. As a percent of gross profit, SG&A improved by 160 basis points sequentially in the second quarter. We’ve continued to make prudent investments in the near-term priorities we outlined at the beginning of the year: technology, facilities, and people and processes. We are pursuing strategic technology projects focused on inventory management, infrastructure, and integration efforts which will be a continued focus area for RumbleOn. Additionally, our SG&A reflects our marketing activities focused on used Powersports inventory acquisition, general and administrative costs associated with a scaled organization, and incremental facility lease expenses. The investments we are making will provide the foundation for long-term sustainable growth as we continue to scale RumbleOn, however we do not expect leverage from SG&A expenses this year. Within SG&A, total stock-based compensation was approximately $2.8 million, up from $1.9 million in the first quarter. As you saw in our press release, we introduced Adjusted Net Income this quarter, which was $19.3 million, and Adjusted Diluted Earnings per share was $1.20. Adjusted Net Income and Adjusted Diluted Earnings per share were $31.3 million and $1.98 respectively for the six months ended June 30, 2022. We believe that Adjusted Net Income, which excludes charges and credits primarily related to purchase accounting, transaction costs, and other associated expenses, provides greater clarity into the earnings power of the business, and enables normalized sequential and year-over-year comparisons. Adjusted EBITDA was $44.3 million in the second quarter, up 41.0% over the first quarter, and $75.7 million year-to-date, or 7.5% of first half revenues. Year to date, we’ve generated approximately $50.0 million in cash flow from operations. As of June 30th, cash, cash equivalents, including restricted cash was $77.7 million. Our total liquidity, defined as cash and cash equivalents, including restricted cash, plus availability under our short-term revolving credit facilities totaled approximately $270.0 million. As a reminder, we have over $86.0 million of equity in owned used Powersports inventory, which could provide additional liquidity if we chose to finance this inventory. We will continue to prioritize our investments to areas that we believe will drive the most long-term value for all our stakeholders. Our top capital allocation priority remains to invest in our business. These investments will take both organic and inorganic forms. We are fortunate to have an incredible investment opportunity set, talent, and capital to execute on both. As I have said before, we will balance our investments with a continuing focus on profitability, margin improvement, and cash generation. We are monitoring the macroenvironment and industry trends closely. While we are not immune to the impact that inflation, rising interest rates, and economic uncertainty are having on consumers, it is important to understand and acknowledge two things. One, we are not currently seeing any measurable reduction in demand indicators for our Powersports segment or any evidence of customers trading down, so we are continuing to fulfill this demand with available new and used inventory. Second, we remain prepared and are confident in our ability to respond to any changes quickly and prudently. We have several levers that enable us to move with agility. Because we acquire used Powersports inventory directly from consumers, either through our Cash Offer Tool online or trades at our retail locations, we are uniquely positioned to ensure our used inventory acquisition matches demand, in near real time. Our sales data informs our used inventory - not only make, model and price - but also our pace of used inventory acquisition. For new inventory, we are only really constrained by availability due to manufacturer’s production or distribution constraints, as demand continues to be quite resilient. Finally, RumbleOn Finance provides us the flexibility to offer financing solutions to our customers. Now, turning to Outlook. We delivered exceptional growth during the seasonally strongest second quarter and are pleased to reiterate our full year 2022 outlook for Revenue in the range of $1.9 to $2.0 billion and Adjusted EBITDA of at least $145 million. While there is minimal seasonality between the first half and the second half of the year, we do experience some seasonality on a quarterly basis as Marshall noted earlier, with the second quarter being the seasonally strongest quarter of the year, and the third quarter being the weakest. As such, we anticipate the third quarter revenue to decline sequentially, with a return to sequential revenue growth in the fourth quarter. As you’ll recall, we gave our full year 2022 guidance in mid-March when we reported our fourth quarter earnings. At that time, due to ongoing manufacturer supply chain constraints, our full year outlook assumed New Powersports units would be flat to slightly down on a year-over-year basis. However, since then and normalized for Freedom, New Powersports unit volumes have declined in the mid-single digits in the first half of this year on a year-over-year basis. So, our reaffirmed outlook now assumes that New Powersports units for the full year will decline in the mid-single digits on a year-over-year basis. Consistent with our prior expectations, we anticipate growth in Used Retail Powersports units to be in excess of 50% year-over-year, offsetting the year-over-year decline in New Powersports units for the year. For Used Powersports, we will continue to align our supply with demand, adjusting used inventory levels, and channeling this inventory through our retail locations. We believe that Used Powersports represent a significant opportunity for RumbleOn to gain market share. For non-Powersports segments, we now expect revenue from these segments in the second half of the year to be approximately consistent with the first half. The progress we are making with the integration of RideNow and Freedom acquisitions as well as accelerating the Used Powersports Units through our omnichannel platform are important performance levers while we make prudent investments in our business. As a reminder, our Adjusted EBITDA outlook includes up to $20 million of incremental operating and capital investments in key strategic areas we previously discussed. RumbleOn has a durable business model with unique advantages enabling us to continue to deliver revenue growth and profitability, with strong unit economics and robust cash generation. I will now pass the call back to Marshall for closing remarks before we open the call to questions.
Marshall Chesrown : Thanks Narinder. I want to close by saying the progress we’ve made to this point wouldn't be possible without the incredible hard work and dedication from our team – working tirelessly to provide a personalized, multi-touch and seamless omnichannel customer experience. We will stay focused on pursuing initiatives to deliver unparalleled value for our customers and capture market share, including the investments we are making to transform the customer experience, enhance our technology stack, and further develop and improve our people and processes. Operator, we’re ready for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operators Instructions] The first question comes from Eric Wold with B Riley Securities, please go ahead.
Eric Wold: Thanks, good morning and thanks Marshall, Narinder for taking my questions. A few questions, I guess one is going to dive in a little bit more on the comments around seasonality that be focused on in your, in your opening comments anything different in these trends from what you've seen in prior years, that may be exacerbated by the recent weather regional economic changes anything like that or this is really going to normal course for you. And then just how large of the seasonal decline, if you could see in Q3 versus Q2?
Marshall Chesrown: Thanks, Eric. Good question, and happy to expand on it. As we've talked about in the past, the numbers that we have reported for our -- on a pro forma basis, it was pretty clear that pre-COVID and fruitful that for instance the right now Group was about 51% in the first half and 49% in the second half. So typically, not the swing that you would expect and I think what drives that is a couple of things and I'll get a little bit more detail in just a second, but if we look at it overall RumbleON originally was buy-in from all over the country and redistributed into the dealer channel. And the dealer channel has nationwide had significant seasonality. I'll primarily weather-driven obviously. Because of our focus with 52 of our 55 locations in the Sun Belt. We almost have a reverse effect. As we drilled into the numbers and met with the management teams have been doing this for a long, long time. It was very clear and pretty surprising really for me to see that the down months were really July and August. And if you think about it, where our locations are heavy saturated in Arizona. Arizona we do primarily off-road, by far the majority of our business and the areas in which they utilize those vehicle even open this time of year because of the heat. In Dallas, Texas we haven't had it, they are under 100, I don't think since May. So if you're a motorcycle rider or an ATVier, it really isn't a very comfortable opportunity even point of the personal watercraft is too hot, and then our next market would be Florida and of course, the same things exist. So we are expecting a significant amount of seasonality presently and again if you look at our previous recorded numbers it shows more seasonality, but again that was because we were feeding all into the dealer channel and the dealer channel as a whole does have a fairly significant seasonality. So hopefully, that explains a little better.
Eric Wold: Yeah, that is helpful. Thank you. And then Narinder when you're talking about the outlook in the updated -- going to reaffirm guidance you said you're not seeing any measurable evidence that declines in demand for powersports vehicles going to I mean some consumers trading down. I know you also not amused. As you talked about, is anything on the margin at all that would get you concerned about any parts of the business, whether you're seeing regional changes in demand, specific price points, seeing more pressure, credit availability, anything that you could sense or is it truly just still remaining robust across the board?
Narinder Sahai: Yeah, it's, it's really nothing in any of those things you mentioned. I think it's really if you look -- at look at the units. And if you look at it from a new powersports standpoint, I think that's where we think from a volume standpoint, it's going to be for the full year going to be down in the mid-single digits. On the used side, obviously, we continue to source that inventory from our consumers directly, not seeing any measurable change there. And when we think about it flow through on the sales side, again not really any measurable change where people are looking for new and then they are trading down to say use because they can't afford it anymore, don't see that either. So it's been really fairly consistent, and except the seasonal -- seasonality factor that Marshall, mentioned. So nothing, nothing really of note there, Eric.
Marshall Chesrown: Yeah, there I would it -- I would add to that. I don't see any pressures surprisingly, but I think what happens a lot of times because there isn't another public comp out there on the powersports side. We're going to get thrown in with the automotive group and the automotive group, keep in mind, have a significantly higher price point. And thus the difference in APU, I mean in average selling by ASP actually causes some of that constraint, if you will, on the customer's ability to buy. So, and we are not dependent as you can see from our gross margin makeup. We are not solely dependent on finance and although we do extremely well in finance and we see that continuing to improve and we feel we can continue that march. We certainly feel the same on pre-owned the data gets better and better. Our customer experience continues to improve. We are clearly seeing we can improve margins in that regard. And then the last piece on that is with regards to the other things that used by increase in used volume does for the business. If you look at the growth in our parts, service and merchandise as an example, obviously with less new vehicles being sold because of lack of availability and by the way on the availability side, primarily driven by Harley-Davidson, we have a significant downturn availability in that regard. We are starting to see some relief and some of the others, whether that be some of the bigger players, whether it'd be Polaris or BRP or others. And so we do think of the light at the end of that tunnel, but with that obviously with less new vehicle sales that do get a lot of additional items added to them, which affects your parts and service. We are more than making that up on the used side because of reconditioning. The ability to quit parts on the vehicle then and certainly the after-sale opportunity because a lot of our buyers today are on the used side, our first-time buyers. And I think that it's such a huge message for the industry. Because of this, from my perspective, and management's perspective, we really feel that's been the missing link. This has been an industry that has spent a lot of time on the future riders, and I think that the affordability factor of pre-owned it really change in that dynamic that I think we'll actually see our total addressable market grow over time.
Eric Wold: That’s Fantastic. Just a final question, if I may. You guys hit on it a little then, Marshall, around new vehicle availability, and Harley being the main issue I just I guess how constrained were you on new vehicles, obviously up nicely sequentially from where it was in Q1. Any sense of just how much you were constrained and then I know Narinder, you said that people aren't trading to use because of affordability, are you seeing people go to use because they can't get the new they want and just want to get a vehicle now are really going to leverage used vehicle platform for that or they waiting for new.
Narinder Sahai: Yeah, I think the new vehicle buyer remains the new vehicle buyer. I think a lot of people are sitting on the sidelines. I think we have some unmeasured amount of pent-up demand that we haven't been able to fulfill. I mean, all the fast-moving product, all the high gross margin product that is in high demand is virtually unavailable. I mean I had a request yesterday from a long-time friend for four personal watercrafts and out of 55 stores, we did not have a single unit in stock to sell them and nothing inbound in 2022. So we -- so we have to now convert into 2023 buyers and I think that's just one example. But I think that's pretty widespread. Another thing about this particular issue is the cost increases. The cost increases from the manufacturers have been fairly minimal. But again because our ASP is at where it is, it really isn't visible to the customer. And the effect is so small with regards to payments and really that's what it comes down to right is how much, am I comfortable spending on my toys on a monthly basis and are we able to fill that -- fill that need.
Eric Wold: Awesome. Thank you, both.
Narinder Sahai: Thanks, Eric.
Operator: The next question comes from Mike Baker with DA Davidson. Please go ahead.
Michael Baker: Hi, thanks. I actually have the follow-up on that inventory question, both new and used. So that's what you told Marshall, it sounds like it's still very tight in the new inventory -- new vehicle inventory area. But then you had said that besides hog, it's getting better and we're hearing that from other channel checks. So could you just clarify that if the zero billable Watercraft, how is that getting better? And then on used inventory side, you're not seeing any economic concerns in terms of demand, but are you -- is it easier to acquire inventory, because people are playing out the garage and trying to sell stuff to make a little bit of money? Thanks.
Marshall Chesrown: We'll start with the used. Obviously the finding of the used inventory has really become a situation where the brand is very, very well-known now and synonymous with creating cash liquidity for consumers. Our ability to acquire the inventory has been extremely consistent. We continue to ramp that opportunity. As said before, the majority of our marketing spend, which is as a percent of -- what do you look at as a percent of gross margin you look on a per unit basis, it is extremely low. From our perspective, it is generating significant interest. As far as additional interest in vehicles being offered for sale because of the economy, we have not seen it demonstrated in the capture rates, but again a lot of what we're seeing I think is a little bit masked just because of execution on the pre-owned side and quite honestly the lack of competition, it's really the traffic in the showroom floor is the example of the traffic, I talked about on -- on our website. We have just not seen any downturn in that regard. And again, maybe the question is how much pent-up demand that we really have. On the inventory, you asked about we are seeing an increase I used an example of a probably a low production product, be it -- be it personal watercraft, but if you look in our mainstream spots right like off-road in Phoenix, Arizona. It's just turning as fast as it hits the floor. So if you look at our inventory, say, on ridenow.com, you'll see that, that new inventory continues to shrink, but our churn is significantly higher. On the used side the thing that I tried to explain in my remarks is that we have more than doubled the sales over the last six months. And we're ending with only 10% more inventory at the end of the month. That's really strategically done. We think that 90 days of inventory in powersports is a very reasonable number. We don't have the depreciation factors that they have in the automobile business, my history was probably about 2% a month on the preowned side. The industry on the preowned used has not fluctuated like it has been automotive and it certainly hasn't been under any pressure that we've seen and really the last three years, we did not see the normal downturn valuations of pre-owned inventory in fourth quarter and we're not anticipating it this year either. We watch the auctions. We don't buy at auction. We sell non-retail unit through auction. But we're watching the auction values and they continue to be extremely robust on the powersports.
Michael Baker: Okay, thanks for that color. If I could ask one more question. And any color you are willing to provide in terms of different types of vehicles, motorcycles versus personal watercraft or ATVs et cetera, and also any color by brand in terms of where you're seeing better or worse trends?
Marshall Chesrown: Well, on the new literally. I would just or sell them whatever they spend it. So we don't get too caught up in what we're seeing on the trend side, but. But as you know, as we've stated before, our business remains, the company remains over 50% off-road and about 40% of that and I'm talking about new, ends up being on-road and about 10% is Personal Watercraft. With that said, that is not the mix on our pre-owned side and that's primarily because of the inventory that's available as a heavy leaning towards Harley-Davidson and on-road vehicles is significantly more than 40% on the free onside. If you think about the type of vehicle and people are using them off-road, just put it simply, they beat the debt, I don't know and it's a little bit harder to acquire those in volume. We're working on several different initiatives and tests to try to improve that and increase it and we have been able to make fairly large improvement. And then the last thing on that, that drives that used mix being heavy to Harley-Davidson, which is why we do very, very well with Harley Davidson with really great margins. One thing that drives that is Harley has a much higher percentage of people that have debt on the vehicles. Many of the non-Harley branded vehicle because of price points are free ends their title. So the demand is when we expect the Harley Davidson demand to continue to be robust because there are people now that need to sell their toy and get out from under that $500 a month payment.
Michael Baker: Sure. Yeah, makes sense. Okay. I appreciate the color. Thank you.
Narinder Sahai: Yeah. Thanks, Mike.
Operator: The next question comes from Craig Kennison with Baird. Please go ahead.
Craig Kennison: Hey, good morning. Thanks for taking my questions as well. I think Marshall, you mentioned that prices -- used prices remain robust. I'm just wondering what the impact on affordability is. especially in a period of rising interest rates as well.
Marshall Chesrown: We just -- we have not seen the effect. As we've said, and you obviously you can see that demonstrated the numbers we talk about seasonality, but we continue to see growth and march forward through current -- current is now. I think that interest rates at some point obviously will have an impact on those vehicles that are financed. But the finance penetration on used is not equal to the finance penetration on new that again is because of ASP when you're selling a $5,000 or $6,000 asset, it has a highlight will that be in a cash transaction. So this is -- it really has different dynamics and we've never been under pressure on the interest rates -- rate side and as I mentioned earlier, our business model is just not dependent on financing. I think that you -- some of the messiness you're seeing in the used car business right now really revolves around models that are dependent on gross margin from financing activities. And as those interest rates go up those models become really, really challenging. So you might have seen that we didn't -- we have talked about used cars much, but I want to touch on just real quick that you brought up pricing obviously we sell a lot of used. Keep in mind our used is purely wholesale distribution. We sell to dealers, so we have absolutely zero reliance on consumer financing as part of our strategy. As part of our margin makeup. And with that, we made a very conscious decision as you can see from our numbers that do not chase volume, but to chase profitability and we will continue to do that. It is a very, very messy world out there right now in the used car business but it is a 180 degrees from what we're seeing in the powersports business.
Craig Kennison: Thanks for that. And then another question, difficult to ask. I'm trying to figure out as you make acquisitions and enter new markets, there is an opportunity for you to be discovered by people who might be selling their units. Just shed any light that you can on how when you bought like Freedom, for example, how do you encourage I guess discovery about the RumbleON platform as a place to sell your vehicles and sell consumer vehicles and is there any metrics you can share that just shows how that adoption curve evolves in time?
Marshall Chesrown: Well, we haven't shared any metrics. But what I will share with you some concepts. Keep in mind, all of our websites are being completely rebuilt internally and we plan to launch that per our previous conversations. Right now, we use third-party providers. They are very old school from our perception website, they are not omnichannel functional and but one thing we have done is we've added the RumbleON cash offer tool for trade evaluation on the majority of our websites even using third party and that has been -- that's really been a huge mover of our ability to acquire, but more importantly, I think what it has done for the stores is when the customer comes into the showroom floor now much like a CarMax transaction. It feels like he's somewhat armed right. In some of our stores, we're testing some different pricing strategies as well. But with regards to the trade he walks in with a fixed price on his trade, and that's one piece that he does not feel he has to negotiate. And we just think that given the people the opportunity online to get pre-approved, which we now executed on is proven very, very successful, the fact that they can get a fair trade value on their vehicle before they come to the showroom floor. These are the beginnings of building a true omnichannel transaction and once we have the infrastructure of centralized inventory control and integrated CRM and integrated common websites you will see a significant change and that will launch the first opportunity for us to be the only one to date, no transactions in this industry are transacted a 100% online. There is no way to buy online. If you live in South Dakota and you see an asset in Ocala Florida, there is no dealer facilitating that today. RumbleON already has the technology to do the full transaction because we were doing it before, obviously, but now what we have to have is we have to have all the infrastructure underneath that such as websites and CRM and so forth so that we can standardize that process and that we see is a very exciting future opportunity to be another big leg up inorganic growth. You touched on acquisitions, I'll just cover real quick, obviously, third quarter was -- excuse me second quarter was a quiet quarter that was intentional. We can tell our phone continues to ring off the hook. We are in discussions with many, many dealers. I would tell you that we continue to be extremely excited because we think that these are going to be very accretive to our business model, number one. But number two, even these really well-run stores that we are having the opportunity to acquire in the used bike business and we already know what we can do by adding additional inventory into an existing store that is not in that business and what that will do to drive the business. So we think the acquisitions will continue to make them. We're probably more disciplined and prudent with the current economic situation and making sure that we're making great moves and Narinder has got his both hands around the purse strings. So I have to negotiate diligently to release those.
Craig Kennison: That's great. Thanks so much, Marshall.
Marshall Chesrown: You bet.
Operator: [Operators Instructions] The next question comes from Seth Basham with Wedbush Securities. Please go ahead.
Nathan Friedman: Yeah. Hi, this is Nathan Friedman on for Seth Basham. Thanks for taking my questions. You experienced another strong sequential gross margin improvement this quarter. It doesn't seem to be one-time in nature, which is nice to see. Just curious if you could share your expectations for gross margins and GPUs for the back half of the year. And any key drivers that may cause a significant change in a given quarter one versus the other? Thanks.
Marshall Chesrown: Okay, let's start with new. I think if new continues to be constrained as we presently see. And the mix of the inventory that we are given from the OEMs does not change them dramatically. We really don't see anything that's going to pressure. We continue to see increases and finance and insurance and we anticipate that going forward. With regards to pre-owned, we have a lot of enthusiasm around what we think we can do over time. We're going to march diligently. But once we have complete control over the inventory being centralized and have control over the pricing, we really think there is a huge, huge opportunity there if we look at the difference of GPU on a per store basis, it's all over the board and a lot of that is because data and technology are not driving that pricing strategy and that's what will happen going forward. So we think -- we think we can continue to march all departments. And I think the one that probably gets left out and I really when we looked at acquiring getting into the retail channel through the acquisition right now. I think the one opportunity that I've missed was with regards to service. These service departments are overwhelmed. The level of customer service is extremely poor in my estimation and we just think that fulfillment of getting that used vehicle processing the bolting together of new vehicles to come in a box, all those types of functions, outside of these dealerships and allow these dealerships to concentrate on better customer service, that is very high margin, right, you can see from our numbers. We think there's a tremendous amount of opportunity in service as well. And we would expect that even if new GPU stays flat, we think we can continue to march those gross profits with regard back to the service one though, just as a flag, we don't intend to build the percentage of gross profit in that. We intend to do significantly more work and the example is we have a lot of stores that in our estimation are capable of doing twice as much service work and with 80% gross margins, if we can do twice as much work and by paying technicians more only realize, and I'm not suggesting. This is the number, but we only realized 70% growth. I would much rather have 70% growth on twice as much business than 80% on half as much. And so just tons of opportunity on the GPU side give us time. Let us get some of this organization done. Let us continue to work on the customer experience that just had a wealth of opportunity and that should be reflected in GPU at least in my experience as always has been in other businesses.
Narinder Sahai: Yeah. And just to add couple of points to that. I think two areas continue to be focused. I think maintaining the discipline on pricing on the used side of the business. I mean, that's where we will continue to focus, continue to look at the data and continue to drive that. And as Marshall mentioned. the second thing, I think we definitely have opportunity on is on the service side of the house. So that's where we are focused as well. So I mean I wouldn't model anything significantly different than what you have seen in the first half of the year versus the back half of the year. There is some small seasonality, like we talked about but nothing really noticeable from a margin standpoint that we can see.
Nathan Friedman: Got it, thank you for the color there. I wanted to just shift over to your cash flow. It seems like you're operating in a period with still elevated demand for your business. How should we be thinking about free cash flow. Do you -- do you view that this is the right run rate moving forward as the business environment starts to normalize and maybe pent-up demand comes down, any puts and takes there would be appreciated?
Narinder Sahai: Yeah. So net, we haven't given specifically -- we haven't put a free cash flow number out there or haven't talked about how we think about free cash flow but if you look at two main components of that one is cash from operations and the other is what we are doing and how we are investing that cash if you look at cash from operations, I think you will probably see some gyrations quarter over quarter. And that's going to be primarily driven by how we see the volumes coming in and how we see the seasonality kind of flowing through the numbers. I wouldn't expect a significant change in the key drivers in the cash flow from operations. We continue to monitor inventory. So I wouldn't model anything significantly different there obviously we look at all components of working capital, receivables, and payables, and all those things that makeup the cash from operations we'll continue to drive GAAP profitability, continue to make sure we are seeing the flow-through of that down to the net income line. So I think if you look at that, you know, I would just look at how you are thinking about the volumes and how are you thinking about you know the key components as far as the working capital goes. As far as the investment side of the house goes, I think the first half of the year should give you a fairly good indication on where we are focused there will be continuing investment on the technology side. For the first six months, you will see about $3.5 million we spent on technology, there is some more coming for the back half of the year. There are definitely some investments in our property and facilities that we will do and that's all included in our guide for the full year. So if you think in those discrete pieces about that impact, free cash flow that should get you to a pretty good spot.
Nathan Friedman: Got it, thank you for that. One more if I could sneak it sneak it in. It seems like it's still in its early stages, but can you share the latest regarding your RumbleON finance platform and any key metrics at this point in time that we should be considering?
Narinder Sahai: Yeah, so RumbleON Finance obviously is a key differentiator for us, that business is fairly small today we continue to scale that business. Nothing we have shared publicly on those in terms of the metrics and what I would say is that business continues to show consistency in growth month over month and week over week, and continue to maintain the key metrics that we follow in that business. So I wouldn't point out anything to you there that you should be modeling in for 2022.
Marshall Chesrown: I would just add to that as well. Repeat what we've talked about before. The ability to have RumbleON finance it's is really to backstop any opportunity that are not available to our captives. We still, we're the largest consumer retail contract provider for Harley-Davidson Financial Services as we use Polaris Financial and Yamaha Financial, and all the others. So what -- how our system work. We are building our platform based on our success in our third-party -- in our captive finance. This is really about being there to provide financing when it doesn't fit the current portfolio makeup for the captives and that really becomes important on the used side because that is something that they have really never been focused on nor have they needed to be. So that's one thing. The second thing is there is a lot of other opportunities, for instance, some of these off-road vehicles end up getting thousands and thousands of dollars of parts and accessories bolted to them at the time of sale and the traditional finance companies really don't dabble in that, so it requires a significantly higher down payment, we're able to step in on those kinds of situations as well. So it's really about just being a backstop where we see opportunities. The success of the portfolio and the growth of the portfolio is on track with where we anticipated. And last thing, I would say in that regard is I think we have a management team that runs that company out of Nevada for us that are as season as it gets. And as I like to say they have already seen the movie several times, so we're very comfortable with the position there. And as you know we don't take on a lot of risk on our balance sheet. So that's where we're going to stay with the finance program at least through 2022 and maybe we'll talk about other opportunities as we go forward.
Nathan Friedman: Understood. Thanks so much for the time. And congrats on this quarter, and best of luck.
Marshall Chesrown: Thank you so much.
Operator: The next question comes from Rommel Dionisio with Aegis Capital. Please go ahead.
Rommel Dionisio: Good morning. Thanks. I wonder if you could just, without asking for specific transactions, obviously just maybe characterize the acquisition pipeline that you see today, a lot of moving parts with interest rates, oil prices inflation, all the rest. I wonder if you could just give us a feel for what you're seeing just multiple opportunities are they still present for you as you look to perhaps expand geographically here in the US through acquisition? Thanks.
Marshall Chesrown: Yeah. Our cash offer tool continues to grow daily, weekly, monthly so forth. Our capture rates through this economic period here have really not changed. We typically are plus or minus 0.5% in our capture rates. So it's really about driving more into the funnel. We continue to see more and more repeat visitors and our capture rate on repeat visitors is extremely higher than the first time and what drives some of that Rommel, if the guy puts it in and he gets a $10,000 offer, he thinks it is way too low. And then he goes and sees a dealer and the dealer either doesn't want to trade because he hasn't been able to from a capital perspective or whatever already he hits him at $0.50. And so they -- we see a higher number as we continue to build that on the repeat business. We're seeing, we measure our cash offers on unique events and we don't believe there's any better pre-owned data out there to drive that. So we are expecting if it continues that we'll see a little bit of more opportunity in the higher-cost units primarily because the people need to sell them to get out from under the debt, we'll be there to back that up. Last thing on cash offer tool, keep in mind, this is all real-time data so is there are fluctuations, both up and down, whether that be seasonality driven, whether that be economically driven, our system is capturing that real time and making adjustments. So as long as we manage our days supply and we have very little risk on the depreciation side. We're going to continue to press hard to continue to add to these stores. We still have several of the Freedom stores as an example that we haven't even hardly started with supplying because the right now guys, which came in first, are turning it so fast. We're having to key those miles first so.
Rommel Dionisio: Great, that's very helpful. Thanks, Marshall.
Operator: This concludes the question-and-answer session. I would like now to turn the conference back over to Marshall Chesrown, CEO, for any closing remarks.
Marshall Chesrown: We're basically out of time. So I'll just thank everybody for joining us. Again, as you know, we're all, we're very accessible. Also, feel free to reach out to Will or any of us and we're happy to dive more into our business. But thanks everybody for all your support and we look forward to some great calls in the quarter -- in the future. So I have a great day. And we'll look forward to seeing many of you on the road show here in the next few weeks. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.